Operator: Good day, and welcome to the Allied Properties REIT Second Quarter 2022 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Michael Emory, President and Chief Executive Officer. Please go ahead, Mr. Emory.
Michael Emory: Thank you, Jennifer. Good morning, everyone, and welcome to our conference call. Tom, Cecilia and Hugh are here with me to discuss Allied's results for the second quarter ended June 30, 2022. We may, in the course of this conference call, make forward-looking statements about future events or future performance. These statements, by their nature, are subject to risks and uncertainties that may cause actual events or results to differ materially, including those risks described under the heading Risks and Uncertainties in our most recently filed annual information form and in our most recent quarterly report. Material assumptions that underpin any forward-looking statements, we may include those assumptions described under forward-looking disclaimer in our most recent quarter before. Allied's second quarter operations were strong. And our financial results were in line with our internal forecast. Cecilia will summarize our financial results. Tom will follow with an overview of leasing and operations. Hugh will provide a development update, and I'll finish with our current thinking on capital allocation. So now over to Cecilia.
Cecilia Williams: Good morning. I'll summarize the quarter, our financial position and next steps on ESG. Operationally, we continue to progress with both leased and occupied area of 160 and 120 basis points from the sequential quarter. We also had another quarter of increasing productivity from our occupied space, reaching $25.29 average net rent per occupied square foot, continuing the trend we've been experiencing over the last 12 quarters. We're pleased with our financial position as well. We fixed the rate on the $400 million term loan, resulting in 93% of our debt now being on a fixed rate basis. Our liquidity position is strong, allowing us to meet our commitments well into 2023 without the need to access either of the capital markets. We've also made progress on ESG. Having published our third annual ESG reported a few weeks ago with a significant increase in our 2021 GRESB score to 80. We've now turned our attention to what we want to achieve in the next year. That includes identifying a path to reach net zero in alignment with the science-based target initiative of corporate net zero standard in the next 12 to 18 months. It also include positive physical climate risk assessments at our building to help us develop the climate risk rating for all properties and the continued implementation of our equity, diversity and inclusion road map. Our team and our property continues to perform well during this extended time of uncertainty, it's followable operations, and we've never been stronger. On that note, I'll pass the call to Tom.
Thomas Burns: Thank you, Cecilia. We had an exceptionally good second quarter of leasing space. We completed 160 transactions totaling over 700,000 square feet almost doubling the results in Q1. Average rents achieved on renewals were 10.1% higher than average rents on the expiring term. Reviewing some information provided by CBRE on the current status of the Canadian office market, I note that Allied's doing relatively well, both compared to the market. We have a lower vacancy rate than the downtown markets in every one of the cities in which we operate. We expect to continue to perform, and we have good momentum leading into the second half of the year. Our in-house leasing teams have been strengthened. They're motivated and fully engaged. Our external leasing teams have been reset. They are also motivated and fully engaged. Our available space has been upgraded and ready to tour. Our tour volume is up. Our property operations teams are doing an excellent job maintaining our properties, serving our existing tenants very well. We are also planning to significant upgrades to our retail facilities in a number of properties recognizing nearby amenities are essential to our users and their employees. We are determined to move our leased area stats up meaningfully. I will now provide an update on leasing activities on our recently acquired portfolio of six buildings, then provide a general update on activities in Montreal, Toronto, Calgary and Vancouver and will conclude with our urban data centers. With respect to the properties acquired at March 31 of this year, we've made good progress on all fronts. These areas in that portfolio is up slightly to 92.5% since acquisition. Asset plans for all six buildings with short, medium and long-term strategies have been created. We have met with every single tenant in the portfolio, and we're working with a few of the larger tenants to expand. We completed a 15,000 square foot deal, 1185 West Georgia and Vancouver to reintroduce a fitness facility. We're negotiating with the restaurants to lease the last remaining retail unit at 1508 Broadway also in Vancouver. We have awarded listing agreements at three of the six properties. Our teams are excited to place our stand on each of these buildings. Moving to Montreal, our most active market. The team completed 62 transactions, covering 300,000 square feet. Among the highlights in the quarter was a lease with YHP, a marketing company for 30,000 square feet at the BRCA building. Another sizable transaction is currently being negotiated at BRCA building, which we hope to complete shortly. We completed the 30,000 square foot lease with Airborne, a gaming company at 3575 Saint-Laurent with expectations for this tenant to grow. We also completed a 9,000 square foot lease at 400 Atlantic during the quarter. We are at various stages of negotiation with large users at 1001 Robert-Bourassa, 111 Robert-Bourassa and then 400 Atlantic. These potential office stands for 500,000 square feet. In Toronto, we completed 45 deals totaling 260,000 square feet in the rental portfolio. The most noteworthy transaction in this market was a 90,000 square foot lease with a tech company at The Well, currently in our development portfolio. Shopify had an option to lease this space but elected not to exercise the option in Q1. The space was then introduced to the market and immediately attracted interest. There were three different companies at the table at one point. The Company that did lease the space did something unusual and very impressive. After a comprehensive tour of the project, they handed us a signed opportunities with terms very close to being acceptable, clearly demonstrating their serious desire to secure the space. The financial terms represented a huge increase from the Shopify deal negotiated about four years ago. It took only 30 days from starting discussions to get a firm commitment. They are making the move from the summer to help them compete for talent. The office can more well is now 98% leased. In Calgary, we're maintaining a weak area of number of 86.1%, which in the context of that market is good. We completed 21 transactions totaling 82,000 square feet during the quarter. TELUS Sky is 72% leased, and we have early stage negotiations with two tenants, totaling 60,000 square feet. Calgary market is slowly coming back. In Vancouver, we completed 29 deals, totaling 56,000 square feet were 93.8% leased with good activity on all available space. And finally, to our UDC space in Toronto, we completed a small transaction at 250 Front, with an existing tenant in the quarter, bringing us to 97.9% leased in the portfolio. I will now turn the call over to Hugh.
Hugh Clark: Thanks, Tom. This quarter, I've seen progress made on both current construction projects as well as planning for future projects. I will begin by giving an overview of our major projects and then we'll follow that with an update on the work we have done on our development pipeline. Beginning in Montreal, work has commenced on the rehabilitation of 3575 Boulevard Saint-Laurent. This major building renovation will allow us to consolidate  neighborhood. The team has already used the proposed improvement demand of large tech tenants. Work continues unabated on upgrade work at 400 Atlantic, 1001 Robert-Bourassa and RCA. In Toronto, while we continue to make progress on all of our active construction projects. We experienced a series of industry-wide strikes by various trade unions. This has impacted a number of projects. The team has been working with our construction managers on evaluating the impact of the strikes and determining how we can mitigate the schedule of late. Despite the strikes, the team has been able to reach the 40th floor of our JV project with Westbank at . At King's Toronto, we've been able to begin the formwork above grade. For our expansion of QRC West, the team has been able to push ahead with the first couple of floors upgrades. We are gaining momentum on this project with an anticipated completion of our base building work in the fall of 2023. At The Well, having handed over the tower for them to be in their , we are now focusing on completing the base building work for the retail and the two small smaller office buildings. In Western Canada, work continues on BoardRock-Revillon and our JV project with Westbank at Main Alley in Vancouver. So the JV projects, we are nearing the bottom of excavation and we'll then be able to start to climb back up to grade. We hope to be back up to grade by the end of the year . This quarter, the team has been focusing on advancing the design of a number of future intensification projects. We were able to make the formal submission for the Northwest quarter of KING Spadina. At this promise bank, we anticipate adding approximately 350,000 square feet of net new net zero carbon mass timber office space. While a number of years out, this project stands to be an exemplary project for our commitment to enhancing the already vibrant KING Spadina neighborhood, guided by our sustainability framework. In Vancouver, the team has been focused on advancing the design of our rail town project. Like our plans for KING Spadina, we are focusing on creating a net zero carbon mass timber building. We have already used lesson-learned and expertise gained to inform our transition of new development and redevelopment projects to net zero carbon in the long term. Overall, the team has made solid progress across all of our development activity. The project we have already undertaken, coupled with the current and future projects have made us more effective in our collective efforts to serve knowledge-based organizations. I will now turn the call back to Michael.
Michael Emory: Thank you, Hugh. Rising interest and inflation have created macroeconomic uncertainty for many businesses. Thus far, the impact on our operations and development completions has been negligible, and we don't expect material impact over the remainder of the year. The impact on acquisition activity on the other hand has been significant, with the result that we don't expect to pursue new acquisitions of consequence in the near term. We've suspended discussions indefinitely with respect to the possible acquisition of 250 Front Street West in Toronto, although our right to first offer remains fully intact. Fortunately, we completed our largest acquisition ever in the first quarter, along with our largest equity issuance ever with the equity being issued at NAV per unit at that time. We've already made significant progress integrating the six properties into our rental portfolio, increasing the lease area to 92.5% at the end of the quarter. We've developed relationships with all large users and are more constant than ever that we'll be able to improve operations and drive value in the near term and over the longer term. As Cecilia mentioned, we currently have over $365 million available on our revolving credit facility with another $100 million available through the accordion feature. This liquidity is more than sufficient to meet our commitments over the remainder of 2022 and well into 2023. We are intent on growing our business, not shrinking it, all with a view to serving knowledge-based organizations more comprehensively and profitably over time. Given the success of our 2022 acquisition program to date and the current level of macroeconomic uncertainty, we'll focus primarily on operations and development completions for the remainder of the year. We expect this activity to drive significant growth in FFO per unit, AFFO per unit and NAV per unit in 2023 and beyond. We continue to focus on enhancing our ESG practices, targets and disclosure. We published our third annual ESG report in June, and we've completed our 2022 RES assessment. We expect the results of this assessment in October, and we'll publish them accordingly at that time. In our view, ESG is more topical and more importantly than ever to a public real estate enterprise and to all real estate enterprises. I do hope this has been a useful and comprehensive update for you. We'd now be pleased to answer any questions you may have.
Operator:  And our first question today comes from Scott Fromson with CIBC.
Scott Fromson: Just wondering on the portion -- the portion of the occupancy increase. Do you have a figure for that portion that's related to moving GLA for development portions of the two buildings in the PUD?
Michael Emory: No.
Scott Fromson: Okay. And just on the rental...
Hugh Clark: We don't have it at hand.
Scott Fromson: Okay. And can you comment on the rental rate growth that is attributable to the Choice Properties and the rest of the portfolio?
Michael Emory: I don't know if we have -- if we have sorted it that way or not, there are two deals primarily in the six properties acquired in March. I think both represented some broke over prior in place. But both spaces, Scott, had been vacant for some time. So I think we would probably have looked upon them as new leases. And I -- we certainly don't have at the tip of our tongue what the rental rates were when the leases expired under the ownership of the prior owner.
Operator: And our next question comes from Jonathan Kelcher with TD Securities.
Jonathan Kelcher: First question. Q2, obviously, a very good leasing quarter for you guys. Just curious if that momentum carried over into Q3 just given the macro uncertainty we've seen in the last couple of months?
Michael Emory: I'll let Tom answer that in a granular way, Jonathan, but we haven't seen any diminution in velocity to date as a result of the macro uncertainty. It doesn't appear to have impacted decision-makers at all at this point in time. That's not to say it won't but there's no evidence of it yet. And indeed, I think the momentum carried strongly into Q3. Jonathan, I mentioned that there's about 500,000 square feet of office space under discussion in Montreal. A few of those potential tents are new. So it's showing us that there's still new entrants to the marketplace or tenants who are looking to make a move. So the momentum is maintained, I would say.
Jonathan Kelcher: Okay. So you guys are still confident? Sorry, go ahead.
Michael Emory: Calgary is this . I'm not sure we've had a quarter like we had in Q2 in Calgary in a couple of years. The activity level is noticeably stronger. So the momentum is good. We're thinking it's going to stick right on the same path.
Jonathan Kelcher: Okay. So you're still confident in your end target occupancy?
Michael Emory: Yes, we are.
Jonathan Kelcher: Very good. Okay. Second question, just on the acquisition front, and you guys are pens down right now, and I'm assuming many others are as well. What impact you expect that to have on cap rates. I see CBRE yesterday increased their cap rates in Toronto, Montreal, I think, for office by 50 bps. Are you seeing any of that in the market?
Michael Emory: In our market, the markets that we essentially dominate in my opinion, we're seeing no evidence of that whatsoever.
Jonathan Kelcher: Okay. And is there -- are there still opportunities out there that you guys are just sort of watching and not doing anything on? Or has volumes dried up?
Michael Emory: I would say that the intensity of interest on the part of vendors to transact now has diminished. All the vendors who own assets that could be of interest to Allied are very strong. They are not under any kind of financial pressure and they are not about to succumb to or capitulate to the fear that is currently ramping in the equity capital markets and the debt capital markets. They will wait until there is less static in the marketplace before they reinitiate their efforts -- to sell their assets as part of the rebalancing of their portfolios. So if I was to answer the question directly, those assets remain accessible to us, but the vendor is less willing to transact in the context of the current uncertainty as are we. We don't expect any of those opportunities to disappear on us through this period of uncertainty. And we know that the owners of those assets are extremely strong and will transact on terms acceptable to them at the appropriate point in time. We will look at small infill acquisitions as we did through the pandemic, where I think we were fortunate to acquire around $200 million worth of acquisitions over the two-year period, covering, I think, 19 acquisitions in my memory is correct. We continue to see a few of those very small. We're certainly interested if they augment an existing concentration we happen to have. But we're not seeing many of them, and we're not about to reach for any of them. But if we can transact on an appropriate basis and augment an existing concentration, we may well do that. But I am certain as we sit here today, that, that won't represent a material allocation of capital over the remainder of 2022 or into 2023. It will be purely incidental and purely de minimis in relation to the size of our business and the amount of capital we typically allocate.
Jonathan Kelcher: Okay. That's helpful. And just you are still committed to close the Montreal acquisition this quarter, correct?
Michael Emory: Absolutely. I don't know if it's this quarter. It depends on completion. I know it is on time.
Cecilia Williams: Yes. I mean in September, October, it might just the kind of the quarter.
Michael Emory: Okay. So it is on schedule, and we are firmly committed to closing on schedule.
Operator:  And we'll hear next from Bradley Sturges with Raymond James.
Bradley Sturges: Just to follow on Jonathan's question there. That would be the same for 400 West Georgia. Would that be still on track to close this quarter?
Cecilia Williams: That will also potentially strongly year end, it will be December, January.
Bradley Sturges: Got it. Okay. And then just to go back to the occupancy question, would there be any other buildings looking to be added to the transitional portfolio? Or is it just down to the three and if that work kind of gets completed by year-end?
Michael Emory: I think the principal transfers were the Montreal properties with 1001 Robert-Bourassa being fully as expected and the most material by far. I don't think we expect any other material transfers into , both the remainder . That is completed now, sorry.
Bradley Sturges: Yes. Okay. That's helpful. Just last question. You highlighted you're still making progress on KING Spadina there through the preplanning process. I guess how should we think about the pursuit of that development project in terms of time line? And then if you're commencing a new development, like you would your return hurdles have changed at all given where cost of capital has moved in recent months?
Michael Emory: I think the best way to answer that question is to say that we have pursued intensification approvals without interruption through the pandemic and into 2022, and we expect to do that going forward. It is highly unlikely that we will, in the near term, initiate another new developments anywhere in the country. And if we do, it will be very small and very discrete in a given market where we think it's timely to do so. But that particular project, which I think will be a spectacular intensification in due course. We don't imagine initiating for the next three to five years and have no interest in initiating it in the next three to five years. We've got enough work to do, enough space to deliver. And as we said, pre-pandemic, we weren't prepared to initiate any new large-scale developments in the city of Toronto, given the supply-demand dynamic that we're all very well apprised of -- we'll watch the new supply that's being introduced to the market, get absorbed and it will be absorbed very successfully. But we're not going to initiate another large new development in Toronto until we observe how this current supply wave works through the system.
Operator: And our next question comes from Pammi Bir with RBC Capital Markets.
Pammi Bir: Just in terms of the properties that were transferred to the redevelopment portfolio this quarter, could you just describe the magnitude of work involved there? And how long these projects may take?
Michael Emory: Again, to be very brief, not something I'm famous for. The biggest project is 1001 Robert-Bourassa formally 700 de la GauchetiÃ¨re. There are two components of it. There is a significant office component where we are bringing the, if you will, inherited spatial framework that two base building, which I think, as we've explained in certain publications is truly spectacular. That is not an inconsequential job. It involves removing the hideous draw ceilings, reconfiguring the air delivery system, stripping the beautiful steel columns from drywall and painting the columns with HMS paint. That is a lot of work. But the base building that is achieved by, in fact, restoring to what was originally constructed and eliminating the horrible accretions to the area perform by the original and subsequent users, yields exactly the kind of space we know our customers cherish. So that's probably a 6- to 12-month process minimum. Meanwhile, Tom and the team are well underway in negotiating those areas with real live prospects in the city of Montreal. The other big element is the massive transformation that we're going to execute and are underway in executing at the ground floor, which is something like 36,000 feet, if I remember correctly. And then the area below it, which historically was one of the most horrifying boot course in downtown Montreal and which we're literally going to transform into amenity-rich area within the complex. That will -- the ground store, we're hoping to will be complete in the summer of 2023. And we are extraordinarily enthusiastic about that transformation and the impact we'll have in the building. I think the area below grade will take another year at least. It's a big transformation, but it's one that we didn't expect to be able to affect as rapidly as we're going to be able to effect it because there was a lot of existing leasehold commitments in place. But because of the pandemic and the having it reached on the tenants in that food court, we've been able to get access to the space sooner, and we'll be able to transform it more or less concurrently with the ground level. Obviously, there will be a one-year gap, which is not inconsequential logically, but in terms of real any timing is pretty concurrent. So that's kind of the time frame. We are -- our views as to our ability to transform that conventional office tower into workspace and amenity environments that serve the kind of tenants we want to serve effectively is only heightened by the experience we've had to date with both the construction and the leasing interest. The minute people could get into the second floor, which Hugh and his team restored to its original base building lender, the interest on the part of the leasing community went through the roof. And it will translate. There is no doubt in our mind now that it will translate. Long-winded answer, but hopefully helpful.
Pammi Bir: No, that was a great color. And just maybe just sticking to that Robert-Bourassa, was that contemplated? Was the transfer to the development bucket contemplated at the stub of the year as part of your 94% occupancy target by year-end?
Michael Emory: Yes. It was contemplated from the beginning. And then it relates to the first known return of space. What we liked about this building from the beginning was that it had a very temperate lease maturity schedule. And we could, in a way, anticipate the timing of return of significant portions of the building to us for redevelopment. So it was fully contemplated at the beginning of 2022. And indeed, it was really contemplated once we finalized our asset plan for the building.
Pammi Bir: Got it. And just -- maybe coming back to the valuation discussion and the comments you've made so far, we've seen some of your peers take some charges through Q2, early -- I guess, it's still early in the reporting season. So with that context, are you anticipating perhaps any changes in terms of how you look at the portfolio from an active value standpoint, maybe over the next couple of quarters? Whether it's through adjustments to maybe any of the cash flow assumptions or discount rates, et cetera.
Michael Emory: We are not anticipating any changes on it. But we obviously are watching the activity in the marketplace carefully, revaluations that might have occurred to date with others might relate to the nature of those assets. What we are looking at, always, as you know, is very centrally located, hyper urban real estate that not only generates proven levels of revenue that not only is becoming more productive with the passage of time as Cecilia mentioned, the last 14 quarters, we've seen our average in-place net rent per square foot go up but actually has enormous intensification potential. So we do not expect assets having those attributes to be revalued in relation to what's going on. That said, you may be wrong. And obviously, as the management team is responsible ultimately for the judgment pay. We need to be very observant and thoughtful about what we do in each quarter. We have no doubt that there were no reasons for adjustment in Q2 other than with two or three properties across the portfolio where we did see fit for one reason or another to increase either the cap rate or change the discount rate. We don't expect there to be transactions in our markets that would signal the need to change the cap rates applicable to our properties. But again, that is a projection that is a forward-looking statement. And each quarter, it's incumbent upon us to make the ultimate judgments informed by an independent appraiser always in that regard. But there are no trades of concern to us in our marketplace at this point in time.
Pammi Bir: Just one last one. You're still managing to get some leasing would certainly would be the tax sector, I guess, lease of The Well, which is one of the notable ones. But maybe more broadly speaking, can you just check the light on perhaps the type of tenants that might be giving up space or those that are still leasing? Are there any notable trends by user groups that you're seeing?
Michael Emory: There are trends, and they are positive. Most of the demand we're serving or negotiating with is emanating from the tech sector, both naturally and internationally. We are not seeing a single tenant in the tech sector asking to back space, subleasing space or asking to contract space. Again, that doesn't mean it won't happen, but we have not had any experience in that regard to date. And we frankly don't expect it. But what is most encouraging to me is contrary to what I might call the speculation in the marketplace most of the incremental demand that we're seeing is evading from the tech sector, which is the largest sector we serve. One last little point because Tom reminds me, one of the most interesting things about Calgary is the demand we're seeing there is emanating from the tech sector. there's no energy tenants taking up space in Allied's buildings in Calgary. It's all emanating from knowledge-based enterprise, which is very interesting, and I think bodes well for the future of Calgary.
Operator: Our next question comes from Jenny Ma with BMO Capital Markets.
Jenny Ma: Just continuing on the discussion about the tech sector. I'm just wondering if you could comment on whether or not there's any concerns about some of the tech layoffs we've seen. I know a lot of them are concentrated in the U.S. But is that something that Allied tracks within your portfolio?
Michael Emory: We certainly keep track of what is discussed in the press. And nothing discussed in the press in relation to users of Allied space causing us concern at all at the moment.
Jenny Ma: Okay. And then, Michael, you mentioned that you're not seeing the large tech users give back space and you have some pretty good leasing activity. Is this lease activity coming from maybe some smaller users? Or is it still fairly broad-based from the tech sector in general?
Michael Emory: It tends to be very broad-based, and it tends to be concentrated amongst a larger players in the tech sector for the most part. A great example is Google as you know, we're about to complete roughly 300,000 square feet in Kitchener of Google, I think they'll start building out later this year and begin occupancy early in 2023. Not only is that not sufficient for Google, but we're actually discussing with them yet a further expansion. So what we're seeing from the users in our portfolio tends to be more expansion and certainly then contraction. We are aware that Wealthsimple and Shopify have laid off a portion of their workforce. We do not believe that will impact their need or allied space at all. Shopify has completed fairly extensive reconfiguration of its space at King Portland Centre and is finalizing a fairly complex reconfiguration of this space at The Well with the intention of initiating construction either late this year or early next. So we have no reason, as we sit here today, do expect any impact on our space as a result of these layoffs. And we also don't regard these layoffs as surprising. They were inevitable. And their inevitability, I think, has been apparent for anywhere from 6 to 12 months, in my view, and it's part of the correction that we all knew had to occur and it's now occurred.
Jenny Ma: Okay. Great. Just shifting back to the change in the acquisition outlook. Just a bit more clarity. Would you say that acquisitions are paused full stop? Or would you consider doing deals if certain levers could be pulled to make the transaction accretive just finding creative ways to make it happen? Or is it really a broader macro call?
Michael Emory: I think it's a broader macro call, Jenny. Their pause will soft.
Jenny Ma: Okay. So what are you watching to see if that view would change? I mean aside from Allied's cost of capital, is there anything in the broader market that you're keeping an eye on to see if there's signs it would be safe to get back into the Water acquisition?
Michael Emory: I think in the simplest terms, it would be a resolution of the extreme uncertainty that exists today. I think it's fair to say that Allied at least, I didn't anticipate the level of macro uncertainty that we experienced starting, I think, late in the first quarter and throughout all of the second. I don't think a number of people anticipated that. Indeed, if I have to be handed I expected maybe the opposite sort of augmenting stability as the  of the pandemic evasive. But we are faced with what is fairly severe macroeconomic uncertainty. We are certainly going into some form of cyclical slowdown or cyclical correction. I don't know sitting here today how extreme it will be and what form it will take. And until there's more clarity there, I see absolutely no reason to engage in acquisitions of consequence. We've got a great amount of value to create through our development pipeline, and that's what we should focus on. We've got a great amount of value to create through our expanding improved operations. That's what we should focus on. The time for new external growth is not now. That time will return. I have no doubt. But I think the biggest precondition for that -- for Allied will be greater certainty as to what kind of economic slowdown we are facing. And there may be smarter people than me who already have that figured out, but we don't. And we see no reason to pursue that kind of external growth under these macroeconomic circumstances.
Operator:  And we'll hear next from Matt Kornack with National Bank Financial.
Matt Kornack: I guess a follow-up to Jenny's points there. Just you also mentioned that there's no interest in shrinking the portfolio either. Would you anticipate, though, maybe looking at joint ventures at this point to leverage the platform if there's a party that's looking to get access to the type of assets that you own maybe with longer leases? Or is that off the table as well?
Michael Emory: I don't want to be misinterpreted in what I'm about to say. But we are always considering a wide range of options in that regard. And we're fortunate to have a number of people who want to have discussions with us in that regard. But I -- again, just as I don't see achieving external growth through acquisitions under these circumstances, I don't see much motivation to pursue the disposition of bond managing interests under these macroeconomic circumstances either. We're very liquid. Our balance sheet is very strong and there's really no incentive to dispose of assets other than the incidental noncore assets that we've already identified we're going to dispose of because of the noncore nature of those assets. And because we committed to do that when we bought  in 2021. So we have -- there's been a bit of a delay, but we have done exactly what we said there, we were going to do, and that was to fund the equity component of the original portion of the acquisition with dispositions. And we will do just that with a bit of delay we anticipated at the time. So Matt, I don't see any reason to contemplate transactions of that sort at this point in time in this sort of uncertain macroeconomic environment either.
Matt Kornack: Okay. Fair enough. But the option exists, it sounds like should you want or need to in the future?
Michael Emory: It does exist. And we haven't sort of -- we haven't stopped talking but we're also nowhere near the point in time where we would even bring an opportunity to the Board, let alone actually pursue it. And as I say, the incentive to do that for us now does not exist.
Matt Kornack: Okay. Makes sense. On the leasing side, particularly in Montreal, with regards to 111 Robert-Bourassa versus 1001 Robert-Bourassa, I'd expect a fairly similar type tenant would be looking at both of those spaces. And my understanding is 111 is pretty much ready to go. So if anybody needs a near-term lease that would probably be where you'd be pushing them towards but just interested in the interplay between those two properties and leasing the space that you have available.
Michael Emory: Yes. I think 111 is available more or less now. And if we can -- if there's a group looking at both, we'll certainly be trying to get them to go to 111. But there is a difference between the properties in terms of the geography. One of them is a lot closer to the downtown core and in the downtown core. And the other one is not. And I think the tenants make a decision to be in the core or not. You're right, we'll have large floor plates, but some tenants prefer to be outside the downtown core. There's a new tenant in the build they moved from the core interestingly. They've been there for a year, and they bought it. And there was a comment that was made to me in an elevator ride by this particular tenant, saying, if we didn't know what it was like to live in this environment, we would have been here sooner. I was really delighted to hear that. But tenants pick up the differences.
Matt Kornack: Yes. And having had the benefit of recently touring 111, your leasing team there was pretty eager and bullish about the prospects for leasing. Is that your view that you'd expect some of the vacancy? I know we've talked about it in the past, but some of the vacancy to be leased kind of by year-end or at least early 2023?
Michael Emory: Absolutely. Got a number of pictures in the building. And our portfolio in Montreal is really, really good. And we do have a really excellent group of people in our leasing team in Montreal. They're motivated and we've got great listing brokers on each of our buildings. We're going to move the needle in Montreal.
Matt Kornack: Okay. Fair enough. And the last minor technical one for Cecilia. On the approach to capitalized interest, should we expect that to increase with short-term rates moving higher? Or do you peg it on some sort of fixed rate view? I'm just interested how we should expect that to develop in time.
Cecilia Williams: Yes, it is based on the weighted average cost of our debt, which is largely fixed, 93% of our debt based on a fixed rate basis. So I wouldn't expect the rate on which we capitalize interest on to change materially.
Matt Kornack: Okay. So it's the in-place weighted average cost of debt, it's not the current cost of debt in the market?
Cecilia Williams: Correct. Exactly.
Operator: And our next question comes from Mark Rothschild with Canaccord.
Mark Rothschild: Maybe this question would be for Tom. I'm not sure if just get a little more color on the data center portfolio and the rents and if you're seeing any changes in the trend and how rents are moving, if it's moderating at all?
Thomas Burns: There's still very good demand market in the data centers and rents are actually improving. The most recent deals we've done have shown significant increase in rent revenue.
Mark Rothschild: And so then should we expect internal growth to maybe pick up from that portfolio over the remainder of the year?
Thomas Burns: Yes, whenever we have an opportunity to do a renewal, we're going to see an increase in rent. The new tenants we're bringing to the building. The rents are increasing. So yes, we expect some growth for sure.
Michael Emory: Yes. And I think Mark, internal growth will be consistent hardly the organic growth will be consistent with our internal forecast. So I think we're -- I don't think we're exceeding our internal forecast, but our internal forecast contemplated growth, and that growth is being achieved.
Mark Rothschild: Okay. Great. And maybe just back into capital recycling and the way you think of buying properties, which I know you answered a few times already. Firstly, when you think about IFRS value is the way you guys calculate IFRS, would that be based on only trades that happen? Or would it be based on maybe appraisers expectations of trades?
Michael Emory: We don't have any interest in what appraisers think is going to happen because they don't have a clue. We're only interested in what has happened, and we only attribute significant to actual transactions.
Mark Rothschild: Okay. Fair enough. That's clearly helpful. And then maybe just looking out as you have a number of projects -- development projects on the go, and this is going to clear up over the next couple of years or so. The units have -- Mike, you've never really been a fan, correct me if I'm wrong in saying it and buying back units, but I don't recall units that are trading at such a discount to your estimate of value. So is this a scenario where you might shift your view or taking a long-term approach, you still would stay the course of how you backed it in the past in regards to equity?
Michael Emory: I think we've been consistent, Mark. We are allocating a significant amount of capital to our development pipeline, which is getting very close to completion and which is going to make a very significant contribution to our EBITDA in 2023. If we weren't committed to that capital allocation, we might consider using available capital to buy our units back under these circumstances. But fortunately, for us, we are committed to allocating capital in that way and we remain committed to our balance sheet as we always have been. And so given those facts, what we're not prepared to do is sport money to buy our units back, even though theoretically, it might be a good trading. We're not in the business of trading in our units. As I say, if conditions were different, if we weren't committed to allocating capital to very productive development activity, we might then take the suspension of external growth through acquisitions, use whatever capital we have available on our balance sheet and buy units back. But I don't see our future unfolding that way. We're going to complete the developments over the course of 2023 and early 2024. And we're going to allocating capital, which is always a scarce resource to that not to buy in our units back. Although I agree entirely with the premise that our units are trading at a level materially below the actual value per unit of our portfolio. But again, we're intent on growing not irrationally and not irresponsibly, but we've committed to do this and something like $200 million to $300 million a year gets allocated to this completion process. That fortunately for us, is going to end around late 2023, early 2024 then we have latitude or more latitude than we have today. But at this point in time, when this value gap exists, we have a use for all of our capital that is consistent with holding our business and that will generate a very meaningful return to our unitholders. So it's really not an option that's available to us even though the conditions or buybacks are very, very favorable. It's just not an option available, given the commitment we've made over the past 8 to 10 years with respect to development.
Operator: And our next question comes from Scott Fromson with CIBC.
Scott Fromson: Just a quick follow-up. Can you give outlook on -- you talk about the outlook for the leasing of the retail portion of The Well.
Michael Emory: I think the last public report or press release we issued, Scott, indicated that The Well was the retail component of the well was around 2/3 leased. I believe we have transactions at various stages of negotiation that will get us higher than that. I think we will leave it to RioCan to report on that specifically in conjunction with their Q3 results, which I'm sure are imminent as they are at the forefront of that particular leasing initiative, but they have achieved very good results. And I know the last press release we issued recited the actual results very precisely. I know there has been progress from that point forward, but I'm not in a position to quantify it as authoritatively as RioCan can and undoubtedly will when they report.
Scott Fromson: And just a quick follow-up question on sustainability. Can you give a bit of color on how users views on sustainability have changed in terms of choosing space and how they're thinking about relative to rental rates. So maybe in other words, is the balance between users needs for a sustainable workplace and paying higher rents continuing to shift in favor of your portfolio?
Michael Emory: There's really -- it's a really good question, and there's significant anecdotal data that suggests that users are demanding sustainability attributes and are prepared to pay for them in relation to environments that are lacking in that regard, number one. And I think there is also emerging empirical data now, mostly from the U.S., if I'm not mistaken, that supports the anecdotal pattern. So -- and certainly, if you're asking for my educated guess, there is no question. That the vast majority of the users we serve, including users in more conventional categories are prepared to pay more for an environment that is sustainable and an environment that is conducive to the wellness of the men and women working in that environment. And indeed, I would go further and say if you're owning and operating urban office environments that don't have those attributes and don't progress in that regard, you will fall behind those who do.
Scott Fromson: And did that tone of conversation on potential users at The Well? Did that change over the course of the development and leasing process?
Michael Emory: It's hard to answer that because we were building to a lead platinum standard. And because the specifications, I think were so well articulated and of such interest to the users, I don't think that changed the attitude, I think we were delivering a product that was very appropriate to the environment we're talking about. And I think the success we've enjoyed there is attributable in part to that. The other element of success that was critical there was the desirability of being located squarely within a mixed-use amenity-rich urban environment. There is no question that drove many of the decisions made to locate in the office component of The Well and indeed now in the retail component of The Well. What I think did change over the course of the development in our favor was the ongoing strengthening of the Toronto market and the proximity to completion. The deal that Tom talked about with respect to 90,000 square feet, One of the major reasons we were able to secure that deal is that completions and they could predict with great certainty when they could start moving their most valuable resources into that building, that weighing heavily. So that certainly helped us as we progress. But I think the sustainability aspects and wellness aspects of the complex were recognized at the beginning and were a big part of the success we had for sure. And yes, people were prepared to pay more to be in The Well. for those reasons and the other reasons I mentioned.
Operator: If we have no further questions at this time. I'd like to turn the conference back to Mr. Emory for any additional or closing remarks.
Michael Emory: Well, thank you, Jennifer, and thank you all for participating in our conference call. We will keep you apprised of our progress going forward. In the meantime, I wish you all the best. Have a good day.
Operator: And this concludes today's conference. Thank you all for your participation. You may now disconnect.